Operator: Greetings, and welcome to MasterBrand's Fourth Quarter and Full Year 2024 Earnings Conference Call. During the company's prepared remarks, all participants will be in a listen-only mode. Following management's closing remarks, callers are invited to participate in a question-and-answer session. Please note that this conference call is being recorded. I would now like to turn the call over to Farand Pawlak, Vice President of Investor Relations, Treasurer and Corporate Communications. Please go ahead, sir.
Farand Pawlak: Good afternoon. We appreciate you joining us for today's call. With me on the call today are Dave Banyard, President and Chief Executive Officer; and Andi Simon, Executive Vice President and Chief Financial Officer. We issued a press release earlier this afternoon disclosing our fourth quarter and full year 2024 financial results. If you do not have this document, it is available on the Investors section of our website at masterbrand.com. I would like to remind you that this call will include forward-looking statements in either our prepared remarks or the associated question-and-answer session. These forward-looking statements are based on current expectations and market outlook and are subject to certain risks and uncertainties that may cause actual results to differ materially from those currently anticipated. Additional information regarding these factors appears in the section entitled Forward-Looking Statements in the press release we issued today. More information about risks can be found in our filings with the Securities and Exchange Commission, including under the heading Risk Factors in our full year 2023 Form 10-K and updated, as necessary, in our subsequent 2024 Form 10-K, which will be available once filed at sec.gov and at masterbrand.com. The forward-looking statements in this call speak only as of today, and the company does not undertake any obligation to update or revise any of these statements, except as required by law. Today's discussion includes certain non-GAAP financial measures. Please refer to the reconciliation tables which are in the press release issued earlier this afternoon and are also available at sec.gov and at masterbrand.com. Our prepared remarks today will include a business update from Dave, followed by a discussion of our fourth quarter and full year 2024 financial results from Andi, along with our initial 2025 financial outlook. Finally, Dave will make some closing remarks before we host a question-and-answer session. With that, let me turn the call over to Dave.
Dave Banyard: Thanks, Farand. Good afternoon, everyone. We appreciate you joining us today for our fourth quarter, and full year 2024 earnings conference call. We released our fourth quarter and full year financial performance earlier today, and reported net sales of $668 million in the fourth quarter, a decrease of 1% compared to the same period last year. This unexpected decline was due to increased choppiness in our repair and remodel business, during the latter part of the fourth quarter. After our third quarter earnings call, we saw the swings in this portion of our business increase. Following Thanksgiving in the U.S. and continuing through the remainder of the holidays, our repair and remodel business was very slow, resulting in a year-over-year volume decline of 6% in our legacy business. These volume declines also exacerbated our existing average selling price headwinds. Our made-to-order offering, which is a higher price point product, was disproportionately impacted by the volume declines, compared to the rest of our product portfolio, causing a mix shift we had not seen earlier in the year. This negative mix - was a primary driver of the 4% year-over-year net ASP decline in our legacy business during the quarter. The volume decline, along with softer end market demand, also impacted our ability to realize previously implemented price. While slower price realization doesn't negatively affect our fourth quarter year-over-year performance, it was part of the reason we missed our stated outlook. Price increases are implemented and realized quickest within our dealer partners, who service the repair and remodel market. The miss to our volume expectations in this portion of the market, resulted in price coming in slower than expected. Additionally, other channels have taken longer to implement price, particularly in the lower price point products, although we have made some progress here since December. While we remain committed to realizing price, we are facing challenges given the current soft end market conditions. Our core net sales decline was partially offset by continued growth from our acquisition of Supreme Cabinetry Brands, which contributed a 9% year-over-year increase to net sales. I'm pleased to say Supreme continues to perform well and in line with our expectations. We delivered adjusted EBITDA of $75 million in the fourth quarter and a related margin of 11.2%, 150 basis points lower than the same period last year. This margin contraction was due to the previously mentioned pressure on net ASP, volume declines and continued investments in the business. If you recall, we announced price increases in the second quarter, because of sequential inflation we were seeing. This inflation has not subsided, and our slower price realization, as discussed, caused us to remain in a negative price/cost relationship during the fourth quarter. Additionally, while volume is normally low over the holidays, the unusually rapid decline this year impacted our ability, to flex manufacturing quickly enough to preserve markets. This, along with more plant shutdown days, continued investment in our strategic initiatives and a $4 million benefit in the fourth quarter of the prior year that did not repeat, all put pressure on our year-over-year adjusted EBITDA margin performance. During the fourth quarter and subsequent to year-end, the organization has thoroughly reviewed and prioritized future spending, including spending related to our strategic initiatives, and identified cost reductions. I'll provide a little more detail on this shortly. Looking at cash generation. We delivered another strong quarter of free cash flow at $69 million, bringing our full year 2024 total to $211 million. I'm pleased to say that this is in line with our stated goal of free cash flow in excess of net income, despite increased capital expenditures in the year. The organization's continued focus on cash management, and exceptional performance in this area, allowed us to improve on all measures of our cash conversion cycle. It's worth noting that in the last two years as a public company, we've delivered exceptional free cash flow for our investors, totaling over $550 million. Now given the soft fourth quarter market demand, I'd like to provide more detail on what we experienced in the quarter and the market conditions we expect in 2025. The market remained choppy throughout the fourth quarter, with those customers servicing the U.S. single-family new construction market, being the most stable. We estimate the U.S. single-family market was slightly up year-over-year in the fourth quarter, as we lapped increasingly strong comparables from the prior year. Ultimately, we believe this market was up mid-single digits for the full year 2024. Trends we discussed earlier in the year now appear to be impacting demand in this portion of the market. During the fourth quarter, spec home inventory reached its highest level in over a decade, causing builders to hold single-family starts at reduced levels. Coupled with completions outpacing starts in the third and fourth quarter, we believe we will now see a pocket of soft demand in the early part of 2025. As builders work through existing spec home inventory and demand improves, we anticipate this end market will strengthen, as the year progresses. In total, we expect new construction end market demand to be flat to down low single-digits for the full year 2025. I've already addressed the conditions we saw in the repair and remodel market serviced by our dealer and retail customers during the fourth quarter. Given the deterioration we saw in the last two months of 2024, we believe the repair and remodel market performed slightly worse than our expectations for the full year, finishing the year down mid to high single-digits. This may sound greater than others' comments on R&R performance, but keep in mind, our market reflects the additional impact from being a large ticket item. Coming out of the holidays, we saw similar demand patterns continue into January. In February, we're seeing a demand environment more like the early part of the fourth quarter, and prior periods. Based on what we're experiencing and what we hear from our dealer and retail partners, we expect to see continued choppiness through at least the first half of 2025, with demand improving modestly in the back half of the year, as we begin to anniversary easier comparables from 2024. In total, we expect to see the repair and remodel market down mid to low single-digits for the full year 2025. Shifting to Canada, we saw some year-over-year improvements in the repair and remodel market during the fourth quarter, albeit off low levels. The new construction market remains soft, as housing affordability continues to be a challenge. In total, we saw the Canadian market down low single-digits across both the new construction market, and repair and remodel markets. We're encouraged by the trends we saw in the repair and remodel market in the fourth quarter, and expect less risk in the new construction market. Accordingly, we expect Canadian new construction and repair and remodel end markets demand to be flat year-over-year in 2025. Given our mix of business, we believe our overall end market demand will be down low single-digits. We recognize 2025 is shaping up to be another transitory year from a demand standpoint. Accordingly, we have thoroughly reviewed and prioritized future spending, including investments related to our strategic initiatives, and we are moving forward with both operational, and commercial cost reductions. I would like to walk you through some of the previously and recently planned cost actions, and provide an update on where we expect to preserve growth investments. Operationally, the team continues to focus on increasing the flexibility and efficiency of our manufacturing footprint. Since our last earnings call, we have announced several changes designed to enable both. In the fourth quarter of 2024, we announced the consolidation of three facilities in North Carolina. As part of our Supreme integration, we identified their newest facility in Statesville as one that could be consolidated into our existing network. As part of the same analysis, we determined that we could also consolidate one of our legacy MasterBrand premium facilities located in Liberty into the same site. Leveraging unused space in our Kinston facility, along with an investment in new equipment, will result in one consolidated site that we believe has the scale, breadth and capabilities to meet our future capacity needs and at a lower cost, continue to review where our manufacturing network resides from a strategy and external cost standpoint as well. We believe service and delivery will help us continue to win new business in the future, so positioning our facilities to best serve our customers at the lowest cost is critical. Accordingly, we announced just this month a plan to relocate our Colton, California facility to North Las Vegas, Nevada. The newly built facility will allow us to continue servicing California, but also position us to better serve faster-growing states like Arizona, New Mexico, Colorado, parts of Texas and Nevada itself. We believe the Western and Southern states, will remain some of the fastest growing parts of the United States, and this facility is ideally situated to service this area while doing so at a lower cost. Given the 2025 end market demand outlook and our desire to preserve growth investments, we have identified cost savings opportunities, and areas to limit spending. We've already announced some internal reorganizations that have resulted in targeted headcount reductions and reduced discretionary spending. These cost actions are on top of our planned incremental continuous improvement or CI savings of $50 million in 2025. Through disciplined spending and further cost savings from CI, we plan to reduce the impact our continued growth investments will have, on our near-term financial performance. Now I'd like to talk a little more about the areas we're continuing to invest in, and why continuity of investment is important. As you might recall, we have three strategic initiatives we believe will position the company for outsized future growth. They are Align to Grow, Lead Through Lean and Tech Enabled. All have produced benefits to-date, but some are earlier in their investment cycle, specifically Tech Enabled. This time last year, I mentioned that given the early success of our Tech Enabled initiative, we planned incremental investment for 2024. I'm pleased to say that we made meaningful progress on this initiative throughout the year, and we've seen further contributions that give us the confidence in our plan, to invest an incremental $15 million in 2025. To-date, these successes have largely been on the plant floor and in the back office. Throughout the year, we continue to make progress on cloud migration efforts and delivering near real-time data. This improved data has allowed teams like our quality group, to have greater insights into our operations and get to the root cause of issues, with increased fidelity and speed. Similarly, our CI teams can now gather data for a Kaizen event in hours, which might have taken days before. Tangible incremental savings in quality and CI this year give us the confidence to continue investing in this initiative. As I mentioned on last quarter's earnings call, we are continuing to venture further outside our four walls with our Tech Enabled initiative. Initially, we introduced MasterBrand Connect, our new customer portal, to focus on improving our connection with our channel partners. Through our incremental investments in 2025, we will get closer to the end consumer than ever before, with the expressed goal of providing actionable insights directly to our channel partners and stimulating demand. While we realize these investments will create a headwind for the organization's near-term financial performance, we believe it will drive superior financial results in the long-term. Furthermore, we feel compelled to act on these investments despite the softer macro environment, as we believe our scale and breadth of product uniquely positions us, to take advantage of this opportunity and further differentiate ourselves against our competitors. Now with that, let me turn the call over to Andi for a deeper look at the fourth quarter, and full year 2024 results, as well as our outlook for 2025.
Andi Simon: Thanks, Dave. I'll begin with an overview of our fourth quarter financial results, and then I'll touch briefly on our full year 2024 financial performance. Lastly, I will provide our thoughts around 2025, and our full year outlook. Fourth quarter net sales were $667.7 million, a 1% decline compared to $677.1 million in the same period last year. Our top line performance was primarily the result of increased choppiness in our repair and remodel business, and the related volume decline we saw later in the quarter. This volume decline caused delayed flow-through of our anticipated net ASP improvements that we discussed on our third quarter earnings call. These headwinds more than offset the positive contribution of 9% year-over-year net sales growth from our Supreme acquisition, which continues to perform in line with our expectations. Gross profit was $203.3 million in the fourth quarter, down 9% compared to $223.1 million in the same period last year. Gross profit margin decreased 250 basis points year-over-year from 32.9% to 30.4%. This year-over-year margin decline despite the addition of 240 basis points from Supreme, was due to continued headwinds from a negative price/cost relationship as the price realization on previously announced increases has not covered the related inflation, lower volume, the nonrecurring $4.2 million of discrete items in the prior year quarter, which were primarily insurance proceeds related to tornado damage, and medical insurance-related rebates and increased depreciation expense. Given the swiftness of the market deterioration, particularly over the holiday season, it was difficult to take remediation action at the same pace. However, continuous improvement outperformance, and variable compensation reductions did help partially mitigate the market slowdown in the quarter. We continue to incur restructuring in the fourth quarter, but the amount was comparable from a year-over-year standpoint. Selling, general and administrative expenses were $152.3 million, roughly flat compared to the same period last year, both from a dollar perspective and as a percentage of net sales. The addition of Supreme's SG&A expenses, as well as integration and restructuring-related costs, also primarily related to the acquisition, were fully offset by volume-related reductions in distribution and commission costs, reduced personnel costs driven by variable compensation, and reduced outside services as we continue to implement The MasterBrand Way tools throughout the business, to capture continuous improvement. Net income was $14 million in the fourth quarter, compared to $36.1 million in the same period last year. The year-over-year decline was primarily driven by lower gross profit, acquisition-related and restructuring costs, higher interest expense related to the funding of the Supreme acquisition, and increased depreciation, partially offset by positive contribution from Supreme and a gain on the sale of an asset. The restructuring charges in the fourth quarter primarily relate to our Supreme integration efforts and the consolidation of three North Carolina manufacturing facilities into one that Dave mentioned earlier, while the 2023 restructuring charges related to our decision to exit an idle facility, and the rightsizing of our Canadian manufacturing network. Through our disciplined use of The MasterBrand Way, we continue our efforts to assess and right-size our manufacturing footprint, to help ensure the most efficient use of resources and distribution to our customers. Interest expense was $19.3 million in the fourth quarter, compared to $15.3 million in the same period last year. This increase in interest expense relates, to debt necessary to fund the Supreme acquisition. Income tax was $5.8 million, or a 29.3% effective tax rate in the quarter, compared to $7.1 million or a 16.4% rate in the fourth quarter of 2023. The higher rate primarily relates to nondeductible transaction costs from the Supreme acquisition, and the mix of earnings in different jurisdictions. Please keep in mind, the fourth quarter tax rate is the relevant rate equating to the difference between the prior quarter's year-to-date rate, and the actual annual effective tax rate. The full year effective tax rate was about as expected at 25.2%. Diluted earnings per share were $0.11 in the fourth quarter of 2024, based on 131.2 million diluted shares outstanding, a decrease from diluted earnings per share of $0.28 in the fourth quarter of last year based on 129.9 diluted shares outstanding. Adjusted diluted earnings per share were $0.21 in the fourth quarter, compared to $0.35 in the prior year period. Adjusted EBITDA was $74.6 million, compared to $85.8 million in the same period last year. Adjusted EBITDA margin declined 150 basis points to 11.2%, compared to 12.7% in the comparable period of the prior year, primarily due to market induced volume challenges, and mix putting pressure on net ASP. Moving on to our full year results. We delivered net sales of $2.7 billion in 2024, down 1% over the prior year in a market that we estimate for MasterBrand was down mid-single digits year-on-year. The Supreme acquisition contributed 4% to 2024 net sales, consistent with our expectations. However, headwinds in our legacy business, primarily lower net ASP and slightly lower volumes, were driven by a softer and choppy end market environment as affordability concerns, and low housing turnover continue to present headwinds across the industry. These full year market headwinds were partially offset by modest share gains in the retail and builder channels, as we continue to provide innovative product solutions to service their needs in any market. Gross profit was $877 million, down 3%, compared to $901.4 million last year. Gross profit margin declined 60 basis points year-over-year from 33.1% to 32.5%. The full year margin decline was due to lower net ASP, slight volume declines, and the impact of some discrete items. This was partially offset by the inclusion of Supreme, lower variable compensation and continuous improvement efforts. Selling, general and administrative expenses were $603.1 million, up 6% compared to $569.7 million in the same period last year. This increase was driven by the addition of Supreme, acquisition related and restructuring costs and our incremental Tech Enabled initiatives. These increases were partially offset by lower volume-related distribution, and commission expense and lower variable compensation. Net income was $125.9 million, compared to $182 million in the prior year. The decrease was primarily related to lower gross margin, higher SG&A, which I just discussed, and higher interest expense, restructuring and amortization, which primarily related to the acquisition of Supreme, partially offset by a gain on the sale of an asset and lower income tax expense. Diluted earnings per share were $0.96 in 2024, down from diluted earnings per share of $1.40 in 2023. Less than $0.01 of this year-over-year decline, was due to the impact of additional dilutive shares. Adjusted diluted earnings per share were $1.37, compared to $1.58 in the prior year. Adjusted EBITDA was $363.6 million in 2024, down 5% compared to $383.4 million last year. The contribution from Supreme added approximately six percentage points to adjusted EBITDA. This, in addition to higher-than-anticipated continuous improvement savings and lower variable compensation, was more than offset by a decline in net ASP and volume in our legacy business, due to market headwinds and normal historical inflation and incremental investments in our Tech Enabled initiative. Adjusted EBITDA margin declined 60 basis points to 13.5% for the full year, compared to 14.1% in the prior year. Despite a soft end market in 2024, and a particularly weak fourth quarter, we believe our long-term financial targets remain in reach, although slightly delayed following three years of challenging market conditions. If you remember from our 2022 Investor Day, these targets were predicated on some level of annual market growth. We continue to be pleased with our ability to perform operationally, position the company for future growth and augment our growth through acquisitions, but we will need market growth, to fully realize the benefits from these efforts, and achieve our stated long-term financial targets. Turning to the balance sheet. We ended the year with $120.6 million of cash on hand and $405.4 million of liquidity available on our revolver. Net debt at the quarter end was $887.2 million, resulting in a net debt to adjusted EBITDA leverage ratio of 2.4 times, down from 2.5 times last quarter. Operating cash flow was $292 million for the 12 months ended December 29, 2024, compared to $405.6 million in the comparable period last year. This decline was due to a benefit in the prior year from a strategic inventory build release, which more than offset the benefits from working capital improvements in 2024. Capital expenditures for the 12 months ended December 29, 2024, were $80.9 million, compared to $57.3 million in the prior year. This increase relates to our decision to accelerate certain capital expenditures, and benefit from availability and discount opportunities, our Supreme integration efforts and our incremental Tech Enabled initiatives. Free cash flow was $211.1 million for the 12 months ended December 29, 2024, compared to $348.3 million in the comparable period last year. This decrease relates to lower operating cash flow and higher capital expenditures, as previously explained. Our primary capital allocation priorities are investing in the business, which includes the Supreme integration and our Tech Enabled initiatives and reducing our net leverage. We did not repurchase any additional shares of our common stock in the fourth quarter. This leaves our total share repurchases unchanged year-to-date at 371,000 shares and $21.5 million left under our existing repurchase authorization. Now let's turn to our outlook. As Dave mentioned, we expect our overall market demand to be down low single-digits year-over-year in 2025, with performance varying by end market. Despite these anticipated low single-digit declines in 2025, we anticipate our annual net sales will be up mid-single-digits. Let me provide some additional color on the drivers of our net sales in relation to the market. We anticipate that Supreme will add mid-single-digits to our net sales in 2025, as we work towards the July 10 anniversary of the acquisition. We are assuming very modest commercial synergies related to Supreme, as we continue to onboard and train dealers and prepare our factory footprint, for related growth. We expect our organic net sales to be flat year-over-year, as the flow-through of our pricing actions and share gains, will offset the market headwinds in our legacy business. We have a variety of new products and channel-specific packages that launched in 2024, and in the early part of this year, focused on addressing the specific needs of both the new construction, and repair and remodel market. As part of our Align to Grow initiative, we continue to tailor products for the end markets, and regions best positioned for growth. As these products gain traction, we expect these incremental sales, will more than help offset the previously discussed market dynamics. Our full year 2025 outlook contemplates the run rates, and order patterns that developed in the fourth quarter of 2024, and we expect these trends to continue into the spring selling season through the second quarter unless a meaningful change to one of our key market-leading indicators, were to occur in the near term, igniting repair and remodel, new construction and housing turnover. While there has been recent research discussing some improved repair and remodel demand, we have yet to see this in our channels. With respect to seasonality, based on the first quarter to-date, we would expect 2025 to exhibit a normal seasonal demand pattern. Finally, similar to last year, our outlook again assumes big ticket repair and remodel lay smaller ticket items, resulting in a timing difference between our net sales and a broad R&R market recovery. Consistent with our approach from the last several years, we continue to assess our manufacturing capabilities, and footprint against the anticipated end market demand environment, as evidenced by the announced manufacturing network changes in North Carolina and Nevada. We believe our common box, along with continuous improvement actions, provides us with ample ability and capacity, to service our customers in any market environment. Given the continued soft end market demand we anticipate in 2025, we plan to continue utilizing our highly variable cost structure, to preserve margins and look at further changes to our manufacturing network, should future market conditions warrant it. Again, we believe this ability to flex manufacturing, coupled with our strategic initiatives, continuous improvement efforts and on track Supreme synergies, will allow us to maintain capacity and preserve margin performance during 2025. As Dave previously mentioned, given the success of our early Tech Enabled initiatives, we plan to invest an incremental $15 million into this initiative in 2025, making the buying process easier for both our customers and the consumer, and positioning ourselves for outsized future growth, when a more robust demand environment returns. With this in mind, we expect adjusted EBITDA in the range of $380 million to $410 million, with adjusted EBITDA margins of roughly 13.5% to 14.3% for 2025. Supreme cost synergies are progressing as planned, and we are on track to achieve the previously disclosed amounts. Interest expense is expected to be approximately $68 million to $73 million, and we anticipate an effective tax rate of around 25%. As such, for 2025, we expect our adjusted diluted earnings per share to be in the range of $1.40 to $1.57. We are planning 2025 capital expenditures to be in the range of $85 million to $95 million. Excluding $27 million related to the Supreme integration and footprint realignment, this investment is just under one-time depreciation, which is within our stated long-term goals. Given our continuous improvement efforts on working capital, we are maintaining our goal of free cash flow in excess of net income for 2025. Our $27 million bond interest payment, the timing of annual incentive and tax payments and further integration costs, is expected to result in us being a net user of cash in the first quarter of 2025. We expect our free cash flow, to return to a more typical pattern in subsequent periods, as normal seasonal trends resume and our integration efforts take hold. It is worth noting that our being a net user of cash in the first quarter will most likely have an adverse effect on our leverage ratio. We expect our net debt to adjusted EBITDA leverage ratio, to increase at the end of this period, but we still expect to meet our stated leverage goal and be below two times, by the end of the year. Before I turn the call back over to Dave, I wanted to take a moment to comment on tariffs. As mentioned in our earnings release, our current outlook only contemplates the tariffs in effect as of the issuance of our earnings release. Our outlook does not include the impact of announced tariffs not yet in effect, the tariffs' potential impact on the overall market, consumer behavior or demand, nor does it include potential future remediation actions we may take as a result of any tariff implemented. Given the dynamic nature of these tariffs, we believe this was an appropriate time to provide some additional detail on our cost of goods sold, and supply chain that may help you navigate the potential impacts of tariffs, on our business as they continue to develop. Based on our most recent 2024 financial results and historic trends, our total cost of goods sold is broken down as follows: roughly 45% to 55% material, 15% to 25% labor and 25% to 35% overhead. Breaking down materials by type, 55% to 65% relates to wood and wood products, of which a little over half is hardwoods. Approximately 30% of materials relates to chemicals, adhesives, hardware, packaging and freight, and the remainder relates to a variety of items. These percentages vary based on the mix of product produced, and the level of capacity per plant. Shifting to where we source our materials used in our manufacturing processes, 70% to 80% of materials are domestically sourced. Around 15% to 20% of our total material spend comes from Asia, mostly Vietnam, and only low single-digits is from China. The remainder comes from Canada, Mexico, Europe and South America. Specifically with respect to our Canada and Mexico operations, which may be subject to tariffs, the finished goods manufactured in these countries and sold into the United States, represent slightly more than 10% of our consolidated net sales. When we consider the recently announced potential tariffs on Canada, Mexico, China, steel and aluminum, we anticipate that wide-ranging price increases will be needed across our various products, averaging in aggregate to approximately mid-single-digits to recover the cost impacts. We currently have plans in place to mitigate the direct effects of tariffs, and continue to look at a variety of alternatives. Commercially, we are working with both customers and suppliers to mitigate the impact. And operationally, we have plans on the shelf to use alternative supply options depending on the magnitude, and duration of the tariffs implemented. Some of these actions may take some time, and we expect to update you as the situation develops. Now, I would like to turn the call back to Dave.
Dave Banyard: Thanks, Andi. Despite the continued market headwinds, we are confident that through the disciplined use of our business system, The MasterBrand Way, we can drive further efficiency across the organization in 2025, and continue positioning the company for growth. We believe incremental investments in our strategic initiatives, specifically Tech Enabled, hold the promise of outsized future returns for MasterBrand. Accordingly, we plan to continue investing in these initiatives, and look to simultaneously deliver improved financial returns for our investors in the near term through year-over-year margin expansion in 2025. Given the current market conditions, we aim to carefully balance near-term and long-term financial returns as we seek to ultimately create superior financial performance, throughout the cycle for our investors. And with that, I'll open up the call to Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Adam Baumgarten with the Zelman & Associates. Please proceed with your question.
Adam Baumgarten: Hi everyone. Just on the 2025 guide, maybe if you could put a finer point on how you expect revenue and margins to trend throughout the year, maybe even first half, second half? I know you talked about the first half being a bit softer than the second half. But I know January, I think you said was off to kind of a continuation of what you saw later in 4Q. So anything to be aware of as we think about the progression throughout the year, outside of the regular seasonality that you mentioned?
Dave Banyard: Yes. I mean, I'd start there, Adam, with the regular seasonality, because I think that's what we're anticipating for the year. But to go back to kind of what we experienced in the fourth quarter and into January, it was really, things slowed down materially throughout late November through most of December and into January. But February has picked back up to a pace that was - that's on par with what we saw in Q3 and early part of Q4. So initially, it was worrisome to see that in the fourth quarter, but the fact that we've picked the pace back up to what I call normal here in February, albeit just one month of data, I think that gives us confidence that our market projections are going to follow normal seasonality, and are going to be able to follow the path that we've outlined.
Adam Baumgarten: Okay. Got it. Thanks. And then…?
Dave Banyard: Sorry, I'll just fill in one more. I mean I think it sort of puts a bit of pressure. The January pace kind of puts a little pressure on Q1, but that's actually normal seasonality. We typically will have a little bit of a step down from Q4 into Q1 and then Q2, Q3 are much stronger quarters. And then I think given the work that we're doing for share gain, and price and those kinds of things, I think fourth quarter next year will be better than this year materially as well.
Adam Baumgarten: Okay. Got it. Thanks. And then just on the pricing front, just on the increases, are they just delayed? Are they maybe ultimately going to be lower than anticipated, or some not going through? Just - if you could help us with how to think about that?
Dave Banyard: Yes, it's mostly delayed. As we highlighted in the prepared remarks, the dealer network is quicker. And we saw that. Unfortunately, that's where we saw most of the volume pressure in the fourth quarter. So we just weren't realizing as much price. It's also the higher end of our business. So it is definitely more competitive in the opening price point side of the business. So it's been - it's taken longer to push price through, but we did make progress, albeit slower than we expected. So we did have a negative price/cost situation. Fourth quarter will probably still be there in the first quarter, and then it will improve as the year goes on. So we're making progress on that, but it just wasn't at the pace that we expected.
Adam Baumgarten: Okay. Got it. And then just lastly from me. Just on Supreme, did you see a similar dynamic in the Supreme business in that late November through January period? Or was it more resilient?
Dave Banyard: It was more resilient. They do have a similar seasonal pattern to the rest of our business. In other words, their Q4 and Q1 were the lightest quarters, and then the middle part of the year is more robust. So - but they performed at where we thought they would. So they did hold up a little better. I'd say most of the pressure for us was in a slightly lower price point than the premium side.
Adam Baumgarten: Okay, got it. Thanks. Best of luck.
Dave Banyard: Thank you.
Operator: Our next question comes from Garik Shmois with Loop Capital Markets. Please proceed with your question.
Garik Shmois: Oh, hi, thanks for taking my question. Just on pricing. In the quarter, you highlighting negative mix. So I was wondering if you're seeing like-for-like price declines as well, or was mix - the majority of it?
Dave Banyard: Yes. Mix was the majority of it, Garik. I mean there was a volume decline, which was - that was the biggest part of the miss in Q4. But the mix was more heavily into opening price point. And what that does is a couple of different things. One is, as we talk about the delay in the pricing and the opening price points weren't getting price on the things that we're selling more, which again, we've rectified some of that through the quarter. The other part is that it sort of tilts our factory network a bit. And so in our make-to-order side of the business, we've had lighter volumes. And so, it's harder to keep efficiency in those plants. And so that was - it was mainly a slide over into a lower price point. The new construction business held up well throughout the rest of the year, as it had been for most of 2024. Some of the opening price point products in the retail channel, were more robust than the make to order. So things like that, mainly mix that really is driving it.
Garik Shmois: Okay. And then not to focus too much on one month worth of data, but you are indicating that February is returning to more normal cadence and that's underpinning some of your confidence for the remainder of the year in your guidance. I'm just wondering, just near term, what are you seeing here, just very recently that has shown the improvement back to normal, at the certain end market or a certain channel that - providing that improvement?
Dave Banyard: Yes. It's really - what's come back is the repair and remodel piece of it, which, again, it was virtually, it didn't seem like many people wanted to do kitchen remodels between Thanksgiving and the middle part of January. But that business has come back to a level that it was running prior to Thanksgiving. So I think it was a blip, but it's sort of the nature of this choppy market. Again, that's it's really hard to predict looking forward how these - this part of the business is going to behave. We think that this shows some confidence. We're also doing quite a bit on the commercial side with new products, with new specific tailored packages that Andi mentioned in our prepared remarks, to really go after trying to grow the business regardless of what the market is doing. And I think, we have a lot of confidence in those programs. I think we demonstrated a lot of that last year in the builder side of the business, and we're going to continue that this year in the dealer side of the business, but it's - it really is - it's hard to look further out, and say that this is what's going to happen, because it is very choppy.
Andi Simon: Just to add to that, just to give you the confidence in February, why we saw it, it's not just that we've seen that volume come back. We've actually seen a bit of the stronger ASP as well. So that's giving us more confidence in the price starting to come through, just - albeit delayed.
Garik Shmois: Okay. That's encouraging. Last question is just on some of the cost projects. You talked to a number of initiatives, and then some new actions on capacity. I don't know if it's possible to quantify perhaps the longer-term implications, whether it's the overall savings that you anticipate, or how we should expect a more normalized environment these projects to offer EBITDA margin?
Dave Banyard: Yes. I mean, I think it's - the way I quantify it is it's - we're continuing with some Tech Enabled investments and the amounts are roughly equivalent to that. We want to be able to preserve the investments we made, because those are growth investments, some of which take a little bit of time. And so we're aiming towards that level of savings.
Garik Shmois: Okay. Thank you very much. I'll pass it on.
Operator: There are no further questions at this time. I would now like to turn the floor back over to Farand Pawlak for closing comments.
Farand Pawlak: Thank you, operator. Thank you, everyone, for joining us. We appreciate your interest and support, and look forward to speaking with you in the future. This concludes our call for today.
Operator: Thank you. You may disconnect your lines at this time.